Stuart Ford: Welcome, everyone, from me. Just to refer to our stock exchange announcement on Page 2. It's the usual cautionary note regarding forward-looking statements in regards to anything that may be said on this morning's call. That statement as well as the presentation and our supplementary information can be downloaded from the Investor Relations section of IHG PLC website. And with that, let me hand over to Keith.
Keith Barr: Thanks, Stuart, and good morning, everyone. In a moment, Paul will talk you through our financial performance for the half. But first, let me share some key highlights. We are well on a path to recovery and are edging ever closer to 2019 overall performance levels. We saw continued strong trading in the first half of 2022 with an increased demand in most of our markets. Global RevPAR for the half was up 51% versus 2021, and we saw strong momentum build in Q2 with RevPAR just 4.5% behind pre-pandemic levels. Looking around the world. The Americas region has already surpassed 2019 performance with RevPAR up 3.5% in the second quarter. Our EMEAA region saw excellent sequential improvement as travel restrictions have been lifted and leisure business came through strongly. By contrast, Greater China had a challenging period due to COVID-19 restrictions, although we have seen a strong recovery in recent trading as those restrictions have lifted. In terms of growth, our adjusted year-on-year net system size growth was 3% with gross growth of 4.8%. In total, 15,000 rooms were opened across nearly 100 hotels, and we passed the 6,000-hotel milestone globally. 31,000 rooms were added to our pipeline across 210 hotels. Our operating profit more than doubled versus last year, which puts it just 8% behind 2019 levels. And with net debt coming down further, together with the confidence we have in the strength and positioning of our business, we are pleased to be reinstating an interim dividend 10% higher than the interim payment in 2019, alongside launching a share buyback program that will additionally return $500 million of capital to our shareholders. Our performance reflects the continued focus on our strategy to build a stronger business for our guests and owners around the world while we continue to strengthen the foundations for future growth. I will come back and talk more about these areas later in the presentation. Let me first hand over to Paul to take you through more of our details of our financial results.
Paul Edgecliffe-Johnson: Thank you, Keith, and good morning, everyone. Starting as usual with our headline results from reportable segments. Revenue of $840 million and operating profit of $377 million increased 49% and 101%, respectively, against 2021. Revenue from the fee business increased 33% on an underlying basis and operating profit by 67%. Adjusted interest, including charges relating to the System Fund, decreased to $64 million. Our effective tax rate was 28%, down 8 percentage points. Taken together, this resulted in adjusted earnings per share of 121.7 cents. Turning to our drivers of performance. The increased demand in most of our markets led to overall occupancy 10 percentage points higher than 2021. Increased pricing power saw rate improve by 24%. This resulted in group RevPAR up by 51% on a comparable basis. This RevPAR performance compared to total fee business revenue that was up 33% on an underlying basis. The difference is driven by non-RevPAR-related revenue streams such as central fee income being broadly flat. When looking at 2022 versus 2019, the 2 measures are closely aligned, RevPAR down 10.5% and fee business revenue down 10%. In terms of net system size, we had year-on-year gross growth of 4.8%, which includes opening 15,000 rooms in the first half of this year. Our underlying removals rate was 1.8%, making our net system growth 3.0% on an adjusted basis. That underlying removals rate excludes the impact of the Holiday Inn and Crowne Plaza quality review completed last year and 6,500 rooms related to ceasing operations in Russia. I've talked before about targeting for this year net system size growth of 4%, noting that doing so will be stretching. That remains our ambition. But given at the half year stage we are at 3.0%, this does require a challenging acceleration of openings in the second half of the year. Looking at monthly RevPAR performance. Since the start of 2021, there continue to be variances in the shape of recovery across our regions. Our momentum was briefly interrupted by the Omicron variant at the start of the year. Both Americas and EMEAA saw sequential monthly RevPAR progress to the half. Our Greater China business had a tough start to the year as COVID restrictions were tightened. We've seen these bumps before. And pleasingly, we've seen improvement in trading in May and June, and this has continued in July. I will now take you through our regional performance in more detail. Starting with the Americas, where comparable RevPAR for the half was up 45% on 2021, resulting in a deficit of less than 2% versus 2019. By the second quarter, each month saw RevPAR exceed 2019 levels, resulting in the quarter being up 4% overall. Across our U.S. franchise estate, which is weighted to domestic demand in upper mid-scale hotels, Q2 RevPAR increased by 5% versus 2019. The U.S.-managed estate weighted to upscale and luxury hotels in urban locations declined by just 2%. This spread of 7 points compares to a gap of 35 points this time last year. Underlying fee business revenue increased 40% on 2021, a deficit of only 1% on 2019. Meanwhile, underlying fee operating profit exceeded 2019 by 6%, which includes the benefit of our sustainable cost savings. Our owned, leased and managed lease portfolio generated operating profit of $9 million compared to a loss of $12 million in 2021. During the half, we opened 42 hotels -- or opened -- or over 4,000 rooms across the Americas, of which more than half were for the Holiday Inn Brand Family. It was also a strong period for our extended-stay brands. We signed over 100 hotels, taking our Americas pipeline to over 100,000 rooms. Looking at our U.S. business and leisure mix in more detail. The momentum behind leisure travel has continued with occupancy and particularly rate, exceeding 2019 levels. We have not seen any indicators that demand momentum is waning. Business travel has continued on its trajectory of recovery with revenue in June at a deficit of only 1% to 2019 levels. Let me break this down further for you. Business rate in the U.S. has exceeded 2019 levels in every month since March, while demand has also steadily increased. There remains further potential for business travel recovery, especially within the meetings, incentives, conferences and exhibitions segment. And as with leisure demand, we see no indicators that the recovery trajectory is abating. Moving now to Europe, Middle East, Asia and Africa, where RevPAR has also been recovering rapidly and was up 138% for the first half versus 2021. Compared to 2019 levels, RevPAR in the half was 21% lower, but the second quarter was down only 10%, indicative of the improving momentum through the period. In the U.K., RevPAR for the half was only 8% behind 2019. There was continuous improvement throughout the period with the provinces up 3% by June and London rapidly closing the performance gap. Continental Europe saw a similar recovery profile. Restrictions in these markets were generally slower to be lifted, resulting in first half RevPAR performance down 22% versus 2019. However, as travel limitations were eased in the second quarter, RevPAR improved to a deficit of only 6%. Lifting restrictions has taken longer in a number of other markets in Asia, but strong improvements in trading have been seen there more recently, too. Year-on-year underlying fee revenue increased 124%. Underlying fee operating profit was $56 million compared to a loss of $3 million in 2021. The owned, leased and managed lease portfolio saw its operating losses narrowed to just $4 million in the first half of 2022. Looking briefly at the development environment, we opened 7,000 rooms in the half. We removed 9,000 rooms from the system, the vast majority due to exiting 28 hotels in Russia. We signed 8,000 rooms in the half with conversions accounting for around 45%. Finally, moving to Greater China, where tightened COVID restrictions resulted in a challenging trading environment. RevPAR across the region was down 27% versus 2021 and 46% against 2019. Strict lockdowns affected demand across a number of Tier 1 and neighboring cities. And with these feeder markets effectively shut down, Tiers 2 to 4 and resort locations were also impacted. Underlying fee revenue was down 32% against the prior year, a decline of 48% on 2019. The business generated $5 million of underlying fee operating profit for the half. We opened 19 hotels or 4,000 rooms in a challenging development environment. By comparison, 36 hotels were opened in the first half of last year. There were 53 hotels signed in the half. The momentum behind our Crowne Plaza brand in Greater China continued with 16 signings across the region, and Holiday Inn Express saw further success with 15 hotels added to the pipeline. In respect to fee margin, our overall margin for the half grew 11.8 percentage points year-on-year. At 55.9%, this is ahead of 2019 despite the EMEAA region not yet being fully recovered and the challenges in Greater China. Margins are highest in our Americas region, where 90% of our hotels are franchised. The pace of demand recovery, along with our focus on costs, has meant that margins continue to grow, now at over 5 percentage points ahead of pre-pandemic levels. Margins in the EMEAA region have improved driven by the lifting of restrictions. Given that many markets only opened for travel later in the half, margin recovery will continue. In Greater China, our fee margin remained positive despite unfavorable trading conditions throughout the half. Turning now to capital expenditure. We spent gross CapEx of $72 million, while net CapEx was an outflow of just $22 million after proceeds from disposals and System Fund inflows. Our key money of $35 million was driven primarily by development activity in the U.S. Maintenance CapEx was up $6 million, reflecting our continued emphasis on investing in the business. Turning to the System Fund, we continue to benefit from depreciation levels exceeding CapEx now that the investment in GRS is complete. Turning to cash flow. Working capital saw an outflow principally due to an increase in receivables driven by the stronger RevPAR and a reduction in payables after the payment of bonuses in respect to the prior year. Cash tax net outflows were $77 million higher than the comparable period. Taking these and other movements into account, we generated an adjusted free cash inflow of $142 million, broadly in line with $147 million generated in the first half of last year. After payment of the resumed dividend, net movement in cash for the half was an outflow of $24 million. However, noncash and foreign exchange movements resulted in net debt decreasing by $163 million. After investing behind long-term growth, which remains our foremost priority, we generated sufficient funds to reinstate and increase our interim dividend by 10% to $0.439 cents. Our growing profitability and decreasing net debt have resulted in leverage of 2.1x below our target range. Given the strong balance sheet position, we have announced today an initial $500 million buyback program, which we expect to complete in the next 6 months. This year's dividend payments to shareholders of around $235 million, together with the $500 million additional return of capital through the buyback are equivalent to around 7% of IHG's current market capitalization. So to conclude, we've seen trading improve significantly during the first half of the year with RevPAR for the group very close to pre-pandemic levels and our fee margin ahead of 2019. The proven, highly cash-generative nature of our business has allowed a 10% increase in the interim dividend and enabled us to restart returning surplus capital to shareholders. We have done this regularly since 2003. And with today's $500 million, it takes the aggregate capital returned to over $14 billion. With that, let me now hand back to Keith.
Keith Barr: Thanks, Paul. There is no question that the last 2 years have challenged our industry, but its fundamental growth drivers remain very strong and give us great confidence in the future for this business. People have an inherent desire to travel for both leisure and business. Whether for new experiences, to physically connect, interact or collaborate, people want to get out there and explore the world. The experience of this pandemic has possibly made that desire even stronger. While we understand there are uncertainties within the economic outlook, we are confident in our business model and the attractive industry fundamentals that will drive long-term growth. We have not seen signs of demand cooling. In fact, research shows that travel is among the most resilient areas of discretionary consumer spending. And we know there is also still further recovery of business travel and groups and events to come with positive forward indicators on that front. The majority of our owners are looking at their investment over the long term as well. And while there'll be cycles, both up and down, during the lifetime of a hotel, we know that owners remain confident in the long-term cash generation and asset values this industry and our brands are able to offer. While this industry and IHG cannot, of course, be entirely immune to economic cycles, our expectation is that the industry will continue its track record of growing ahead of global economic growth that will continue to drive industry-leading levels of performance. Much of our confidence comes from the great strength and resiliency of our business model, as shown by our results over the last 2 years. Our system is formed of over 6,000 hotels across 17 brands in more than 100 countries. This geographic and chain scale diversity reduces overall risk and means that we can benefit from different markets and segments being at varying points in economic cycles. Our asset-light model, in which we franchise or manage 99% of the hotels in our estate, allows us to grow at a pace with low capital requirements. Our income is based upon high-quality, long-term fee streams, typically around 90% of which is directly linked to the revenue of hotels. This business model allows high levels of cash generation. You've seen us remain cash flow positive even in the deepest depths of COVID. And cumulatively, between 2015 and 2021, more than 100% of our earnings converted into free cash flow. Our pipeline of 278,000 rooms is more than 30% of our current system size and locks in multiple years of growth. And very importantly, we operate in a high barrier-to-entry environment, one where it's very challenging to replicate the scale and strength of the enterprise platform we have built over many decades. It's an enterprise that has a strong portfolio of 17 brands with irreplaceable heritage and resonance with our customers. Our System Fund receives and spends over $1 billion a year on behalf of our owners, achieving massive scale advantage for them. This includes our recently transformed loyalty program, IHG One Rewards, which has over 100 million members and industry-leading technology which we have heavily invested behind. We also have highly effective procurement solutions that provide invaluable support to owners through all stages of the hotel life cycle, something that is critically important in today's world in terms of helping them access quicker solutions and manage costs. And for all of these reasons, coupled with the long-term growth drivers of this industry that we have real confidence in the future and to make sure we continue to build our capabilities and capitalize on growth, we continue to put all of our focus and investments into our four strategic priorities. Let me spend a few moments on each. First, building loved and trusted brands. Back in 2017, we identified white spaces in our portfolio where we could see a clear path to address long-term consumer trends and capitalize on notable sustainable growth opportunities. Fast forward to today, and through either organic development or acquisition, we've added 6 brands to our portfolio across our four segments of Suites, Essentials, Premium and Luxury & Lifestyle. We started in 2017 with the launch of avid, a large-scale opportunity driving high owner returns in the mid-scale segment. The following year, we launched voco, our conversion-focused premium brand which was recently named the World's Leading Premium Hotel Brand by the World Travel Awards. In 2018, we acquired Regent, a brand with a rich history in the upper luxury segment. A year later, we acquired Six Senses, our high-end, luxury, resort-focused brand with wellness and sustainability at its core. Six Senses was recently voted Best Luxury Hotel Brand by Luxury Travel Intelligence. That same year in 2019, we launched Atwell Suites, our upper mid-scale, extended-stay brand in the U.S. And most recently, we launched Vignette Collection in August last year, our Luxury & Lifestyle conversion brand which is off to a great start. While lots of work goes into expanding a brand portfolio, we, of course, remain focused on ensuring that we are driving the growth of all 17 individual brands, investing and developing our existing brands and integrating and scaling up our newer additions. Examples include Hotel Indigo, which we launched in 2004, and Six Senses, which we bought in 2019. Hotel Indigo, our premium lifestyle brand, reached its first 100 hotels opened after 14 years. Thanks to all the work going on into the brand, we expect to open the next 100 in less than half that time. We are already at 134 properties. We have a very strong pipeline of a further 120. During the half, we secured a further 16 signings, and we're on track for a record year of openings. On the right-hand side, you can see how we have accelerated Six Senses' growth. On acquisition, there were 16 open hotels and 18 in the pipeline. In the 3 years since, we've opened another 5 and nearly doubled the pipeline to 35, which is a direct benefit of putting the brand within the strength, scale and sophistication of IHG's enterprise platform. The next two slides put a spotlight on the power of our global platform to grow brands internationally. We launched voco in June 2018 initially in EMEAA. We then took the brand to both Greater China and the Americas. And it now has a presence in 17 countries with more than 9,000 open rooms. It has another 9,000 rooms in the pipeline, which will see the brand enter a further 10 new countries by 2025. When we acquired Kimpton in 2015, it was a leading boutique hotel brand that was solely based in the U.S. In the 7 years since, we've taken Kimpton to 12 countries, and its pipeline of 8,000 rooms across 40 hotels will extend that to 19 countries by 2025. There were six Kimpton signings in the half. And as we continue to add stunning flagship properties in prime locations and resort destinations, this will help further accelerate the brand's international expansion in the years to come. Against the backdrop of a fragmented global hotel supply, we've talked before about the increased importance of conversions as hotel owners look to benefit from our scale, revenue-generating systems, marketing and loyalty programs to drive performance, efficiencies and returns. With voco and Vignette Collection, we have added two brands that play primarily in the conversion space. Expanding our brand portfolio has also enabled us to sign more portfolio deals with owners with assets across multiple segments. For example, we had another 3 portfolio deals in EMEAA in the first half that added 10 hotels across 6 brands. Importantly, when you look at conversions over the past 2.5 years, they're going to represent 25% of our signings. And there is a spread of opportunity across our brands, with half coming from our Essentials segment and the other half split across Suites, Premium and Luxury & Lifestyle. We are focused on securing high-quality conversions across our brand portfolio, and owners are making significant investments to access IHG's brands and enterprise platform. Just to highlight some of our recent conversions, and going beyond those of voco and Vignette, you can see we can use conversion for flagship properties and to both help enter new markets and expand existing ones. Some examples here include our first Atwell Suites in Miami, our first Kimpton in Australia, expanding Staybridge Suites in Saudi Arabia and Hotel Indigo in the United States. I've talked a fair amount about our newer brands, but we're not standing still with our more established ones such as Holiday Inn and Crowne Plaza. You'll note that in 2021, we carried out a thorough portfolio review of these 2 brands, resulting in the removal of 151 hotels from our system. Let me update you further on where we stand. Since Kemmons Wilson opened the first Holiday Inn in 1952 in Memphis, Tennessee, this iconic brand has never stood still, be that its expansion to 220,000 rooms across 1,200 hotels today, its design and service or the work done to maximize owner returns. And that continues today. 2/3 of our Holiday Inn estate in the Americas has either recently been updated or has committed to renovations. In our most recent evolution of our upper mid-scale full-service brand, we are focusing on three critical areas to meet both guests and owner needs through innovative design. Firstly, we relooked at our guest rooms to ensure that they are more attractive and suitable for both corporate travelers and leisure customers. Secondly, we reimagined the lobby layout, based upon consumer and owner feedback, to make it more social and drive improved guest satisfaction while also reducing staffing levels, a key area of focus for owners given labor pressure in many markets. And thirdly, we have evolved our guest-preferred breakfast buffet, again leading to increased guest satisfaction whilst also achieving significant reductions in food waste and further lowering food costs for owners. If I turn to Crowne Plaza. Having launched in 1983, the brand today has 110,000 rooms across more than 400 hotels. And we have around 115 hotels representing just under 30,000 rooms in the pipeline, equivalent to 27% of our existing estate. We know how important consistency and quality is to both reputation and experience. And as part of last year's review, we took the decision to remove 43 hotels from the estate and have been working with owners on transformational renovations. In fact, around 75% of our Americas estate has either recently opened, is under renovation or committed to renovate. This year, 28 renovations are expected to be completed, which is the equivalent to the last 4 years combined. This is really important work and will ensure that our existing estate is competing strongly and supporting future brand growth. I'm not going to provide an update on all 17 brands today, but I would like to briefly touch on Holiday Inn Express, avid and Atwell Suites before I move on to our next strategic pillar. Holiday Inn Express, our category killer in the upper mid-scale segment, continues its leadership and strong growth. Having reached 3,000 hotels in its 30th year, the pipeline remains very robust with more than 80,000 rooms or growth of 26% on its current size. Avid now has 210 open and pipeline properties and is delivering great guest satisfaction scores versus peers and strong owner returns. This has been further reinforced by the first properties now being sold at premiums to their build costs, which can help demonstrate to other prospective owners the total returns that can be made from this great brand. During the half, Atwell Suites opened its first newbuild prototype property in Denver and an adaptive reuse in Miami. We'll have another conversion site open early next year, demonstrating the flexibility and potential of this new, extended-stay brand. We have 23 hotels in the pipeline. Moving to our second and third strategic priorities, which are very much interlinked, being customer centric in all we do and creating digital advantage. When we refreshed our strategy several years ago, we set up a phased approach on to how we can drive customer centricity for guests and owners. We first strengthened our brand portfolio by filling in the white spaces through organic launches and acquisitions. We then continued to improve the quality across our existing estate, which included the Holiday Inn and Crowne Plaza review, the evolution of both brands that has followed and the introduction of new prototypes across our brands. We were then able to focus on transforming our loyalty program, elevating our mobile experience and innovating our digital channels. One without the other doesn't work. You can't expect to achieve results into providing a stronger, holistic experience, and that's what we are now seeing. If we look at loyalty, we have more than 100 million members enrolled in our IHG One Rewards program. IHG was actually the first hotel company to launch a loyalty program. But while we were the pioneers in this space, we recognize the need to transform our offer and move it substantially forward versus peers. Our loyalty members are our most valuable guests. They account for half our room nights, spend 20% more than nonmembers and are 9x more likely to book direct, which is the most profitable channel for our owners. We knew we have to invest behind them if we're able to remain the preferred choice for our members. So we transformed IHG One Rewards, supported by our largest marketing campaign in more than a decade to help raise awareness and drive more profitable hotel revenues for our owners, along with new, more compelling credit card offerings. For our members, the transformed loyalty program is all about faster earn, exceptional choice and richer benefits. Faster earn has included improving the value of our currency with the launch of dynamic reward pricing, revamping our tiers and giving members the ability to earn more bonus points as they move up tiers. In terms of exceptional choice, we are putting members in full control. The program empowers them to choose the perks that matter most to them with milestone rewards, where members are offered a choice from a selection of rewards every 10 nights. These include points, confirmable suite upgrades and annual lounge membership. Within a month of launching milestone rewards, 800,000 rewards were earned. And with richer benefits, we have introduced enhancements like free breakfast for Diamond Elite members and access to reward night discounts and upgrades, additions that our loyalty members prefer, value and want to use. We have seen some fantastic progress on our loyalty KPIs. There have been 14% more points redeemed and 18% more reward nights booked. And enrollments are up 30% with 11 million more members added. In addition to all the program changes, we've also invested to put loyalty in the palm of our guests' hands with the all-new IHG One Rewards mobile app. Although the app is designed for convenience of all customers, IHG One Rewards members will get the most out of the experience with the ability to easily track progress towards their next status and milestone reward choice. It offers them exclusive upgrades, add-ons and packages tailored to their preference. The app allows guests to book stays more quickly and easily than ever before and includes better access to property information. With the new QuickBook feature, members can rebook a stay in a few simple steps. The app also offers a digital concierge, a chat-based experience giving members more seamless access to customer service. Other key functional benefits include easy stay management, digital check-in and checkout, adding rewards to upcoming stays and viewing hotel bills. The mobile app is our fastest-growing revenue channel. We're expecting it to drive further direct bookings, loyalty engagement and incremental spend during stays. Since its relaunch, revenue driven by our mobile app from the Americas and the EMEAA regions has been at 30% higher levels than 2019. Let me play a short video to capture the key functions and attractions of the IHG One Rewards mobile app. 
Keith Barr: Clearly, our direct digital channels are very important to us, to our owners and to our loyalty members. And so we're innovating our technology and distribution channels to drive improvement in guest experience and owner returns. We are on a journey to ensure how customers book with us is intuitive, easy and streamlined, helping maximize guest conversion rates and drive higher revenues to our hotels. While there are multiple pieces and phases to the innovation being implemented by our teams over the coming years, I want to highlight some of the most recent developments that have gone live. From moving our booking module from the middle of the page to the top of the page, initial testing has indicated that this simple redesign leads to higher booking conversion rates. By combining rooms and rates onto a single page, testing across our Holiday Inn Express portfolio has shown a 2% to 3% increase in revenue and a 10 percentage point improvement in loyalty enrollments. And we've introduced Add Extras page to support the cross-selling of nonroom extras such as purchasing loyalty points, parking, food and beverage vouchers and other unique experiences. This sets us up for the next phase of upsell or, in other words, our full attribute pricing rollout, which will enable owners to generate maximum value from the unique attributes of their room inventories. These are just three points in the booking experience that are being redesigned to improve the digital guest journey and drive superior booking conversions and revenue to our hotels. And there is more to come. Moving on to our fourth strategic priority. This pillar is all about ensuring our growth ambitions are achieved in the right way: taking care of our people, communities and planet. Our Journey to Tomorrow 2030 responsible business plan is focused on 5 critical areas: our people, communities, carbon and energy, waste and water. We're making good advancements in all five areas. But today, I'm going to touch on two: our people and reducing waste. Diversity, equity and inclusion remains a key focus of ours. It is critical to our future success that we cultivate a culture of inclusion where everyone feels welcome, valued and able to thrive. This is a vital part of our ability to attract, develop and retain the more diverse range of talent with different experiences and backgrounds. Driving gender balance is a big focus for us. 58% of all employees are female and 30% of our leaders at vice president level and above are female. Amongst a number of initiatives to drive further improvement, we are identifying and removing potential barriers to increase the female general manager population across our estate. Another key area is our commitment to double underrepresented groups across our leadership. We are focused on increasing the ethnic and racial diversity of corporate leaders across our markets. To help support this, we have several initiatives, including unconscious bias training, new diverse hiring approaches and fresh talent and leadership development programs. Turning now to waste. We were the first global hotel company to commit to replacing bathroom miniatures with full-size amenities as part of our goal to eliminate single-use items or move to reusable or recyclable alternatives across the guest stay by 2030. Last December, we announced the Intercontinental brand's partnership with Byredo, and more recently, we announced our global collaboration with Unilever to replace single-use bathroom amenities in over 4,000 of our hotels. Unilever's largest brand, Dove, will supply bulk-sized bath amenities to IHG's Essentials and Suites brands, which account for around 80% of our global portfolio. The switch is expected to save at least 850 ton of plastic annually in the IHG Americas region alone, and the scale of our buying will provide hotels with savings of up to 30% versus current costs. IHG's markets are now covered by bulk bath amenity contracts, and we continue to push forward on other aspects of waste as well as the rest of our Journey to Tomorrow commitments. So to sum it up, we've seen strong trading in the first half of 2022 with increased demand in most of our markets. We opened nearly 100 properties and signed more than 200, with our pipeline growing 3% year-to-date to more than 1,850 hotels. We've undertaken a significant loyalty transformation with IHG One Rewards and are already seeing an excellent impact from both the program and our new mobile app. The work and investments against each of our strategic priorities is helping create a stronger and more resilient company. And we are delighted to be announcing an interim dividend and a share buyback program today. Whilst there are uncertainties in the economic outlook, we are very confident in the industry fundamentals, the strength of our business model and our ability to drive long-term, sustainable growth. With that, Paul and I are happy to take your questions.
Operator:  Our first question comes from Vicki Stern from Barclays.
Vicki Stern: Just firstly, can we start with the 4% unit growth objective? You referenced there, Paul, in the prepared remarks that it's clearly a stretched target now given the required acceleration in H2. Could you just flesh out for us then the puts and takes there? And then secondly, wherever this year goes then, how are you feeling about the sequential improvement in unit growth into next year? I think you've previously been targeting about 1% higher unit growth next year. Is that still realistic to expect a further acceleration given the current signings pace and obviously construction start -- headwinds you're seeing? And then just finally, on the signings outlook. I guess what will it take to see the business back above 20,000 a quarter and in the sort of nearer term? Just what's the outlook you're seeing there? I guess you have the sort of lead on the pipeline. I'm referencing, obviously, the 14,000 base in Q2. How do you see that evolving as we go into the second half?
Paul Edgecliffe-Johnson: Thank you, Vicki. And yes, so obviously very important indicators for us. In terms of our net growth, as you rightly say, I am targeting for us to get to 4%. And obviously, with the first half at 3%, it does become more challenging. I am pleased with the openings we've achieved at 4.8%, and I'm also pleased with the direction of travel on the removals. And you'll remember that I've said before that with the Holiday Inn and Crowne Plaza removals program that we went through last year, we should be able to get our removals down 2%, on average 1.5% a year. So to get to 4%, that means that we got to do 5.5% gross growth. So that means we've got to get more hotels opened in the second half than the first half. It's been held back somewhat in the first half by China. There were hotels that would definitely have opened in the first half had it not been for the lockdown. And the question is going to be, how many of those, plus the ones that might be a bit delayed in the second half, are going to get through the system. But we're pushing hard on that. And there are also quite a few portfolios that we're looking at. We're now with our 17 brands and our strengthened platform delivering revenue, but owners are talking about bringing all of their hotels into IHG, which is going to be an interesting increment for us in terms of growth. And we've seen a few of those earlier this year in Vietnam and in Europe. There's a few others that we're working on. And so overall, I'm optimistic of getting to the 4%, but it's not assured. And how do I feel about looking forward? Well, within this business, it can certainly do more than 4% net growth. And it's just getting the hotels that are signed up and our owners really want to get open with us open as quickly as they can. And China is -- typically does double-digit growth and EMEAA is sort of 6%- plus. And then the Americas does a good contribution as well. So it's getting that Americas number up and then that's balanced up by EMEAA and China. And in terms of the signings outlook, again a lot of owners want to sign up hotels with us across our many brands. So we've got industry-leading propositions in all the categories that we operate in, and it's just getting those through the system as quickly as we can and out to -- as open hotels.
Vicki Stern: And sorry, just to follow up on that last one. So based on what you can see so far, if we're looking into at least the back half of that 14,000 base that we saw in Q2?
Paul Edgecliffe-Johnson: Well, I guess we signed 31,000 rooms in the first half and 210 hotels. So with 17 brands, no reason why it can't get up to 80,000 again in due course. I mean, obviously, I can't tell exactly how many of those are going to come through in the second half of the year. But certainly, a lot of demand from owners out there. So we're encouraged for the future.
Vicki Stern: Sorry, just one last follow-up. Obviously, conversion activity, particularly important in EMEAA. Any sort of incremental color there on sort of conversion piece?
Paul Edgecliffe-Johnson: Yes. Commercial, as you say, very important because they get the hotels through the pipeline faster. And we're really pleased with the new conversion brands. Nearly 50% of our openings in EMEAA are from conversion brands and similarly with signings. So a lot of pickup for voco, for Vignette and a lot of other brands that are converting into our system. So again, it's that enterprise platform delivering very strong revenues for owners. And they're saying they want to be part of it. They want to be on the IHG platform. So we've got some great conversion brands, and I think they'll continue to contribute for us. And in the second half, they're going to need to because we need to get as many hotels as possible open. Thanks very much, Vicki.
Operator: Our next question comes from Jamie Rollo from Morgan Stanley.
Jamie Rollo: Three questions, please. First two, sort of following on from Vicki. Just to that 4% net unit growth, just to be absolutely clear on -- with definition that, that's now adjusting for Russia, obviously, which wasn't announced when you bridged to get to target. So that's adjusting for the 70 basis points, but you're not adjusting for any other factors, are you? Because the review would have rolled off by the end of the year. Just to double-check that. And then, secondly, just digging a bit into the Americas rooms data. Q2 signings just look particularly weak. They're sort of running at half sort of 2019 levels, half Q1 levels. And also, the openings in the Americas are a record low as it's going backwards. Is there anything timing-wise beyond there? Or is it something else? And then finally on -- just on costs with the sort of comments on sort of overheads being contained. But on that $600 million sort of fee base overhead, what sort of inflation should we be sort of modeling going forwards?
Paul Edgecliffe-Johnson: So in terms of the net unit growth, yes, we are adjusting for Russia. We effectively closed our business there. We've talked about that. And there's no other adjustments because, as you say, the Holiday Inn and Crowne Plaza removals, they were all going out last year. So it's clean for that. In terms of the Americas, we had a very strong first quarter of signings, and we have a month every year where we have to basically resubmit our franchise contracts to local states for them to reauthorize the -- what we call a dark period. And April was a dark period, so we couldn't effectively sign any franchises in April. So that did hold back some signings getting into the system. But there's a lot of demand, a lot of letters of intent signed, et cetera. And in terms of the openings, again it does tend to be back half weighted. So I think we'll see more openings coming through in the second half of the year in the Americas. In terms of costs, so the $75 million of sustainable cost savings that we've talked about before, those are locked in. We delivered those last year, and they're continuing into this year. And then on the rest of our cost base, about -- so 70% of it is people related, 15% or so is D&A and 15% is other costs. And in terms of the people related, they're sort of -- generally, 3% to 4% is what we've seen historically, and it's linked to the wage increases in the business. So allowing for approximately that on the 70% will get you to about the right place.
Jamie Rollo: Okay. Plus an FX benefit this year, I guess? .
Paul Edgecliffe-Johnson: Yes. .
Jamie Rollo: And then just -- so just back on the openings and stuff. So anything happening with avid? I mean that's still the brand with the most potential, isn't it, of all the new brands? But it wasn't really mentioned much in the presentation. Are you happy with the performance there?
Paul Edgecliffe-Johnson: Avid is doing really well. It's getting to the scale that it needs for owners to be familiar with it. And as I think Keith mentioned, we're now seeing a number changing hands and owners making very good returns on their investment, and that's really important both for owners' confidence and also for lenders seeing that there's a strong secondary market for avid. And yes, so we're really pleased with the trajectory. And I think that as openings accelerate, then we'll see a lot more avids getting out into the market. .
Operator: Our next question comes from Leo Carrington from Citi.
Leo Carrington: I've got two questions, please. Firstly, to follow up on Paul's questions on the demand -- Paul's comments on the demand recovery and corporate travel. Summer ADRs are obviously very strong with the leisure demand. Do you have a view on how winter ADRs will hold up as the leisure demand fades with normal seasonality? And I guess -- then just asking the same question in a different way, but occupancy versus RevPAR gap in regions that have seen a RevPAR recovery, is the lagging occupancy just business travel? Or are there pockets of unrecovered leisure travel, too, that's -- that can still come through? And then on a different topic, just to follow up quickly on Jamie's question on inflation. When you've referred to being able to find incremental efficiencies to offset inflation, does this essentially mean that when it comes to margins, Premier and Greater China, should we just expect the margins to recover slightly ahead of revenues as we've seen in the Americas?
Keith Barr: Great. Well, thank you, Leo. I'll take the conversation around demand, and then I'll let Paul talk about inflation and margin growth. I mean as you saw in the presentation, we've had sequential improvement in RevPAR every month as the year has progressed and then with real strength coming in our business. And so if you break it into three different areas, you're looking at leisure travel. So leisure travel demand is up and rates are up versus 2019 levels. So we're seeing that strength of leisure, as you highlighted. We saw sequential improvement in business revenues as the year has progressed. Demand is somewhat behind 2019, but rates are up. So in June, we were just 1% behind in terms of revenue for business. And so you're seeing that trend continue. Groups and events are what are furthest behind, we have the biggest room for still improvement, but rates are still up. So what you're seeing is leisure demand up versus 2019, business demand getting closer to 2019, and groups lagging but still getting sequentially better with rates going up across the board. We are not seeing any signs of demand cooling across any one of the segments right now. And we would expect that to continue on into the remainder of the year. And overall, I think what we've shown as an industry and as a company with the advancements we've made in our revenue management technology, that even as demand was still low, we were able to get pricing up. And I've been very, very focused about leveraging our new technology systems and revenue/demand forecasting to make sure we're well positioned, too. So we're quite confident. The other tailwind we have, which you've highlighted on, is U.S. The Americas is very recovered. Europe is in kind of the middle of that recovery. A lot of Asia is just entering into the recovery as markets begin to open up and travel restrictions. And China clearly has had a lot of volatility. But when you think about our 2023 revenue profile, demand profile, you've got tailwinds because China will reopen. And we've seen China, when restrictions are lifted, demand comes back incredibly quickly to levels very close to 2019 or above. Similar things are going to happen across Asia Pacific. So even if there is a little bit of demand cooling in some of the other markets, we're going to have that tailwind. And again, we still think ADR is going to be a part of the recovery because our pricing actually hasn't kept pace with inflation. So there still is more upside there overall.
Paul Edgecliffe-Johnson: And in terms of the question on costs and how we're going to manage those, Leo, you're absolutely right when you talk about EMEAA and China, that they haven't yet seen the full revenue recovery. So there's further to go on the margin there. The Americas has seen a big increase on the margin we were running in 2019, which is driving the overall group margin up. So there's still further to go on that. But more broadly, just sort of step back a bit, and I've talked about how we manage inflation, if you go back over the last 20 years, the nature of this business, whereby we grow without having to add significant additional costs into the business, will continue. This is a business that naturally, if you run it well, accretes margin. And over the 20 years, we've added on average sort of 125 basis points of margin per annum. And that will continue as we open up more hotels into the system around the world and we manage the cost base. So that's what we continue to focus on strategically.
Operator: Our next question comes from Alex Brignall from Redburn.
Alex Brignall: I'll ask three, please. In terms of that long-term growth number, sort of forgetting 2022 and 2023, where obviously things slipping from Q4 to Q1 doesn't really mean anything, but in terms of the rate of signings at the moment and then the growth in the future, what would typically be the gestation time? You've obviously seen a few years of growth that's been lower and you've had some one-offs. But for the sort of outer years, what gives you the confidence of staying at the sort of higher levels that you've talked about given the rate of signings? The second one is on inflation. There's been some very different commentary from different hotels in terms of how to model inflation, I guess, one extreme saying whatever you think is going to happen with inflation at the cost base, just put it through on the ADR and we think it will get passed on, and some saying not that. Do you have a sort of base case? Obviously, it's very difficult. You don't have a crystal ball. But what's your sort of thinking of how that might work? And then in terms of the buyback, it obviously is similar in size to the large special dividends that you did, and that one didn't take you to sort of the top of your typical leverage guidance. This one, similarly, you're sort of not really anywhere near the top of the leverage, but should we sort of imply from that, that there might be more that you would do and that for the time being, you're still playing a bit cautiously in terms of what the outlook might be on the recovery?
Keith Barr: Thanks, Alex. I think I'll let Paul talk about long-term growth, gestation times and so forth, and I'll let him clearly talk about the buyback. And I'll talk a little bit about how we manage owner returns and how we think about cost inflation from the owner perspective. I think Paul has already covered it from an IHG perspective. We're quite confident that inflation is an issue in our cost base, but it's really about how do we drive owner returns. So Paul?
Paul Edgecliffe-Johnson: Yes. So, I mean, in terms of our aspirations around long-term growth, we've said before we want to be industry leading. And if you remember back in 2019, effectively on a gross basis, we were. We opened more hotels as a percentage than anybody else in the industry. And that's where we think that this business with 17 brands and -- which are category leaders we will be. In terms of how long it takes to get a hotel open once you sign it, it does vary, as you'd imagine, significantly by brand. In a normal environment, where there is access to construction crews and there's access to building materials, et cetera, then you -- at the fastest hotels, so in avid and some Holiday Inn Expresses, you might be talking about some -- say, 2 years. Others can take a large region, large -- Intercontinental could take 10 years to get all your planning, et cetera, et cetera. So there is certainly a lead time for when you move forward. And we have 40% of our pipeline that is already under construction, so a lot of that is already baked in. So a lot of the future growth is baked in. That's the openings. And then we've talked before about the removals that we expect will come down to around the 1.5% level on average, and that gives us confidence in being able to move forward at an industry-leading rate of growth. In terms of the buyback, so you are right that when we get to the end of the year, based on expectations, it won't be to the top of this 2.5 to 3x range, but that is also probably about the maximum amount of shares that we could buy back in the next 6 months just with the volume that we have in the -- trading in the shares. So we haven't said that's the last buyback that we'll do. And clearly, if you look over the last 20 years, we returned $14 billion of capital to shareholders. So I think our intention is pretty clear. And with that, I'll just pass back to Keith.
Keith Barr: Great. Thanks, Paul. Oh, yes, in terms of inflation, I think this industry actually performs quite well in an inflationary environment, as I said earlier, because of our ability to price the product on a daily basis. And our brands are in such high demand as well to both the leisure and to the corporate customers given the range of the brand portfolio, the investments we've made in our loyalty program which make it significantly more compelling to that high-frequency travel or two. So we fundamentally believe we have pricing power in this industry that can continue moving forward because truthfully, ADR growth hasn't kept pace with inflation. And so we know that we have that ability to do it. And we're very, very focused on leveraging low-cost distribution channels, taking cost out for our owners. And I mentioned about the new Holiday Inn breakfast, lowering cost, new prototypes with cost to build being lower and  being lower, too. So in its entirety, when we talk about being customer centric, we say we've got guests and we've got owners. And the critical thing for owners is to drive returns. So we're constantly talking about internally cost to build, cost to operate, cost to renovate, how can we leverage our scale, things like with Unilever with Dove, taking down costs by 30% for bath amen. So it's a never-ending journey, though, and we have to make sure we're constantly focused on that and not standing still. And we're seeing our owners are able to, again, sell hotels today at significant premiums to what they were building them for and get -- generating those returns on the assets. And our assets are in demand, too. So I think that it's an inflationary environment, but we're well positioned for it and make sure we're driving high returns for our owners.
Alex Brignall: That's really helpful. I might really come back to Paul on the growth. You've obviously talked a lot about conversions are slightly impacting. I lost track of what the percentage conversions were pre-COVID. And so what I'm trying to solve for is absolute conversions rather than percentage of signings because obviously the signings number is lower now. So I'm just trying to see what conversions are on an absolute basis pre-COVID to now.
Paul Edgecliffe-Johnson: Yes. So conversions have moved up from around the 17% level to up to about 25% now. So a significant step-up with our new conversion brands. We always had a good conversion offer with Holiday Inn and Holiday Inn Express because they were the best in those categories. So if you had a good hotel and you were bringing it in from an independent or one of the weaker brands, you wanted those brands. But now having more conversion brands, so more opportunities, it does allow more owners to bring in their product. But -- and I think we will see that continue into the future.
Operator: Our next question comes from Richard Clarke from Bernstein.
Richard Clarke: Three if I may. Just the first one on the demand outlook. I mean both of you said you haven't seen any sort of negative impact on demand. I guess if I look over at some of the online players in the U.S., they kind of refer to May being the peak in terms of booking demand. It slowed down June and July, and then maybe picked up again a bit towards the back end of July. Just saying you're not seeing that pattern at all, and it's just consistently got better? And what do you put that down to? Is that the business travel recovery that's offsetting maybe some of that weakness in leisure? Second question. I heard one of your peers the other day say they prefer newbuilds. And so in other words, we'll a new car than a secondhand car, and I'd rather have a new hotel than a secondhand hotel. Do you see better performance in new hotels? Or are you able to match performance with the conversions as well? And then just thirdly on your loyalty refresh. You've got a -- it looks like the loyalty contribution is up to 50% of room nights. Maybe just how has that transitioned over the last couple of years? Are we in a normal environment? And what's your ambition there of -- again, I heard one of your peers talk about the fact they can get that number up to 75%, 80%. Are you able -- is that with the new launch of the  and looking to get launch contribution up to those kind of levels?
Keith Barr: Thanks, Richard. I think I'll take the loyalty program, and I'll take -- and let Paul talk about newbuilds and the demand outlook.
Paul Edgecliffe-Johnson: Thanks, Keith. So, I mean, in terms of the demand outlook and what we're seeing, clearly we have a relatively short window where bookings are on our books. So people do not book many, many months out. But from what we can see and what we observe in industry numbers, we can't see any slowdown. And -- well, that's across all the different booking types, so whether leisure or business or group. And clearly, that -- business and group segment has some way to go back to normalization. Leisure is up. And that gives us confidence into the second half of the year. And I remember, perhaps we were talking about it in the first quarter, some of the peers have talked about March possibly being the high watermark. We said, well, that's just not what we're seeing in the business, and that proved to be the case. So I think there are still good tailwinds for us to drive further demand. In terms of newbuild versus conversion, I think what you really want is a great customer experience. And a newbuild hotel for, say, an avid, well, it's going to be a newbuild because they're all newbuilds. Something like an Intercontinental or Regent, actually some of those locations, the historic hotels, are irreplaceable. So then you tend to have more conversions because people are not generally able to get hold of those spaces. If you think about, say, with the Intercontinental, is it Hyde Park corner? It's very, very difficult to get new locations. They're all 48 and Lexington for the Barclay, et cetera. So a mix. A well-renovated hotel is going to offer a fantastic customer experience. So either way, as long as the customer is being well looked after, we are happy. And I'll pass to Keith.
Keith Barr: Thanks, Paul. Richard, I'm really excited about the transformation of the loyalty program. Effectively, we have increased the value of the currency. We have increased the ability for customers to quickly move up tiers, given them more choice with milestone benefits and more personalization, too. So it's a much richer program from a customer perspective and also makes sure that it protects the costs for our owners as well, too. So we make sure we balance both sides. So it's a much stronger program today 6 weeks into the launch or 7 weeks into the launch than it was previously. And -- but the loyalty contribution is a complex issue because it's not just about the program. It's about the brand portfolio, it's about the overall quality of your assets, it's about the geographic mix. And I think we've been addressing all those things. Paul mentioned earlier about now having 17 brands. Having a complete brand portfolio from Luxury & Lifestyle, from Six Senses to Intercontinental through mainstream and Premium makes you more compelling from a loyalty program perspective. So if you've got big gaps in your portfolio, then you're less appealing to certain segments of customers, too. And so fixing the brand portfolio, underpinning the quality of that brand portfolio with the work we did in Holiday Inn and Crowne Plaza, the investments we're making in technology, all those things come together to provide a stronger customer experience and a stronger loyalty program. And so our contribution is up year-over-year. 6, 7 weeks into the program, we're seeing enrollments are going up. And we would expect to see our contribution continue to grow each year moving forward as the program becomes more embedded, as we get more resonance with customers. And that's going to be the nature of this. Now we have -- industry leading in this industry has historically been in the mid-50s to high 50s. We have some of our brands already there in some markets, and so we aspire to see us continue to go in that direction. 75 and 80 is probably a reaching ambition. I don't think anyone has ever achieved that. But I do -- I would expect us to drive higher contribution each year going forward. But it's going to be a 2- to 3-year journey until we see a real step change just because, again, you have to pull people out of other programs because our program is more valuable to them and get that in the right cycle. And also, I see the continued recovery of business travel in the years to come.
Richard Clarke: Okay. Hey, can I just ask just a quick follow-up to on to Jamie's questions about the definition of unit growth this year? You said the only adjustment was Russia. I just noticed in all of your regions, the number of Holiday Inn hotels has come down again quarter-on-quarter. Those now stay in the underlying. Those have nothing to do with the removal program. They will be included in the definition. Is that right?
Paul Edgecliffe-Johnson: Yes. Thanks, Richard. The only adjustment, as we've said, is for Russia because by the end of this year, we will have cycled off the 2021 Holiday inn and Crowne Plaza program.
Operator:  Our next question comes from Stuart Gordon from Berenberg.
Stuart Gordon: A couple of things from me. First one is, given the sort of rapid change in the operational performance, could you give us a flavor for the split in EBITDA or operating profit between the first and second quarters? And the second thing, obviously you've spoken a lot this morning about the loyalty program. Could you give us a sense of what's happening with the credit cards given the other side, obviously, some of your peers use that very successfully, and whether you're using the loyalty to push that? And if so, have you got any ambitions on where you could get credit card revenues, too, from the current base?
Keith Barr: I'll let Paul talk about operational performance, and I'll talk a little bit about loyalty in the credit card.
Paul Edgecliffe-Johnson: So we don't split the EBITDA, as you know, Stuart. But I think the way to think about it is that the franchise business is broadly linear to revenues, and you've got all the components of that and then you get the incentive management fees coming through as the business recovers. And similarly with owned and leased, which is more operationally good, and the recovery was stronger in the second quarter. So you would then expect that the EBITDA in the second quarter is going to be stronger than the first. But really principally just on those drivers. And in terms of the credit card, I will pass that one back to Keith.
Keith Barr: Thank you, Paul. So we're excited. We've launched a number of new credit card offerings this year both for individuals and businesses and so forth, too. So much more compelling, higher value proposition. So we would expect to see our credit card income continue to grow. And it's actually intertwined with the strength of the program. So the bigger the program, the stronger the program, the stronger and more compelling your credit card offer is, too. And so they're very symbiotic. So we would expect to see our program grow over time. Unlike our peers, a significant portion of our income goes into the System Fund to support marketing efforts and driving that, and some does come to the P&L as well, though. So both should continue to grow. And really excited. I mean the initial reaction on the credit cards has been great. We've got -- the new business card has no fees to it, really attracting that small business spend, which we haven't historically had. So the program should continue to grow over time.
Operator: We currently have no further questions, so I'll now hand you back over to Keith Barr for closing remarks.
Keith Barr: Great. Well, thanks, everyone. It's been great to connect with you all again, and we are really pleased with how the first half of the year has turned out. Our next market communication will be our third quarter trading update on the 21st of October. Thanks for your time and interest in IHG, and look forward to catching up with all of you soon. So take care.